Operator: Good day ladies and gentlemen and thank you for standing by, and welcome to the PGT, Incorporated first quarter 2010 earnings conference call. Currently, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator instructions) As a reminder, this conference is being recorded. I would now like to turn the program over to our speaker Mr. Brad West. Sir, please go ahead.
Brad West: Thank you. Good morning and thank you for joining us for PGT’s first quarter 2010 conference call. I am Brad West, Corporate Controller and I am joined today by Rod Hershberger, President and CEO, as well as Jeff Jackson, Executive Vice President and CFO. Rod and Jeff will represent PGT on this morning's call. Before we begin, let me remind everyone that today's conference call may contain statements concerning the company's future prospects, business strategies, and industry trends. Such statements are considered to be forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to the May 5 press release, our most recent Form 10-K, and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on the Investor Relations section of our corporate Web site at www.pgtinc.com. Included in the press release are the unaudited consolidated balance sheet and statements of operations prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our Form 8-K filed May 5 with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. For today's call, Rod will provide an overview of our performance for the first quarter then Jeff will discuss our results in more detail. After their prepared remarks, they will take your questions. With that, let me turn the call over to Rod Hershberger. Rod?
Rod Hershberger: Thanks Brad. Good morning, everyone. 2010 began with a brighter outlook than the past two years. Housing appears to be recovering, and for the first time in four years total starts in our core market were up 39% in the first quarter compared to last year. For the same comparable period, single-family starts were up 55%. Single-family starts also increased 30% when compared to the fourth quarter of 2009. We welcome this increase in starts; however, we believe they were inflated somewhat by the tax incentives which motivated homebuyers to purchase new homes, particularly first-time homebuyers. Though these buyers typically buy at the lower end of the construction market, we are encouraged by the increased activity and anticipate a carryover into the broader new construction market. Other positive signs suggesting the beginning of a recovery include a 24% increase in existing home sales compared to the prior-year quarter in our primary market of Florida and a decrease in inventory levels compared to the prior year in certain primary market cities, including 28% in Miami and 12% in Tampa. Home prices had the first year-over-year increase since December 2006. However, housing start levels are still much lower than what we would expect in a normal cycle, and many negative conditions still remain, such as pending foreclosures, high unemployment which is still around 10% nationally and over 12% in Florida. As a result, we continue to operate in a market whose return to normalcy is still quite unpredictable. Sales in the first quarter decreased only 2% when compared to the first quarter of 2009. This is a combination of the decline in sales into the new construction market of 26%, mostly offset by an increase in sales into our R&R market of 11%. As a percentage of total sales for the first quarter of 2010, R&R sales accounted for 77% and new construction sales accounted for 23% of sales. This compares to the first quarter of 2009 when R&R sales accounted for 69% and new construction represented 31%. The increase in R&R sales is due mainly to the success of our non-impact vinyl replacement product, SpectraGuard launched in 2009. Sales of those products, which represented the main driver of our growth, increased $1.9 million year over year as we increased our distribution network in targeted states outside Florida. This resulted in an increase in our other state sales of $7.8 million in the first quarter, up 32% from a year ago and represents 19% of our sales for the quarter. In previous calls, I mentioned some new products we recently launched. At this time, I'd like to update you on those products. Sales of our new sliding glass door launched last October were $2.8 million, up from $1.3 million in the fourth quarter of 2009, and continue to exceed our expectation. Our customers are thrilled with the improved aesthetics, clean design, ease of installation and the many new features the door offers. This product line also includes a high-performance sliding glass door. While we expect this new sliding glass door to eventually replace certain of our existing sliding glass door product sales, we think its new design and features put us at the forefront of technology currently in the marketplace and will drive incremental sales well into the future. Sales of our new PremierVue series total $600,000 in the first quarter. PremierVue is the high-end energy-efficient, impact vinyl line acquired last summer. These products provide long-term energy and structural benefits by qualifying homeowners for the government’s energy tax credit and meeting structural requirements of Miami-Dade for impact protection. This product line was developed specifically for the hurricane protection market and compliance to some of the highest structural ratings in the industry with excellent energy efficiency. Lastly, we announced in a recent press release that we developed an R-5 impact window, the first in our industry, further strengthening our leadership position in the impact market. R-5 windows have been promoted by the Department of Energy for volume purchases in an effort to bring the cost down on these highly energy-efficient products. We believe this product is well positioned to take advantage of the energy codes expected in the future. Comparing the first quarter to the fourth quarter of 2009; sales increased $4.5 million, driven by an increase in both our new construction and repair and remodeling markets. Gross margin increased $2.3 million from the fourth quarter due mainly to the increase in sales and the restructuring costs taken in the fourth quarter. SG&A costs decreased $500,000 compared to the fourth quarter as a result of increased fuel costs as well as expenses related to the rights offering a debt amendment. EBITDA increased to $3.4 million in the first quarter of 2010. The increase in EBITDA was driven by higher sales, offset somewhat by a shift in mix toward our lower margin vinyl non-impact products. Net loss was $2.1 million in the first quarter compared to a profit of $300,000 in the fourth quarter of 2009. As a reminder, we recorded a tax benefit of $5.4 million in that quarter. Net loss per diluted share was $0.05 in the first quarter compared to an adjusted net profit of $0.07 in the fourth quarter of 2009. We also finalized our rights offering and debt amendment during the quarter. The rights offering was 90% subscribed and provided $27.5 million in proceeds, which allowed us to pay down our term debt by $15 million as required in our third amendment to our credit facility. The amendment is now effective and allows us more flexibility to operate in this difficult but improving environment. We are currently and always have been a company who focuses on fulfilling the needs of our customers. We have shown that over the years with the innovative new products that we have launched and exceptional customer service we provide. This has been and will be our strategy regardless of the economic situation. With that, I will turn the call over to Jeff who will review the results for the quarter in greater detail.
Jeff Jackson: Thank you Rod, and good morning, again, everyone. Let me give you more detail regarding our first quarter results. We reported net sales of $40.5 million in the first quarter, a decrease of 2.4% versus the prior year's first quarter. This small decline was driven by sales into new construction market down 26%, offset by an increase in sales into our R&R market up 11%. Sales into R&R market, which represented 77% of our total sales, were driven mainly by our replacement vinyl product, SpectraGuard, which continues to gain market share. In the new construction market, housing starts were up in Florida 39% or approximately 2,800 units. With our new construction sales down 26%, we have not yet realized the benefit of the increase in new housing starts. This is due to the fact that over the past two years, a significant number of our dealers switched their emphasis to the R&R market. Also affecting us is the price point at which new homes are being built. A large number of the increase in starts at home is priced in the low end of the market, the track homes, and which generally install lower-priced windows. Our vinyl products are becoming more of a factor in our top line sales and are currently the source of growth. The increase in vinyl sales is due to our introduction of our new products and our continued focus on increasing our distribution network in targeted markets outside of Florida. For first quarter, sales within our core market of Florida represented 81% of total sales compared to 86% last year. Our WinGuard products continue to lead our sales, representing approximately 62% of sales for the first quarter of 2010 compared to 67% for the same period a year ago. Breaking down our sales drivers for the first quarter compared to 2009’s first quarter; we have WinGuard impact sales at $25.1 million versus $27.8 million, down 10%; aluminum non-impact product sales at $5.9 million versus $6.3 million, down 6%; architectural system sales were $1.9 million versus $3.2 million, down 41%; vinyl, non-impact and other product sales were $7.6 million versus $4.2 million, up 81%. When compared to our sequential fourth quarter, our sales increased 12.5% from $36 million to $40.5 million. Our new construction sales were up 7% while sales into the R&R market increased 15%. Our gross margin for the first quarter was 27.9% versus 23.8% in the first quarter of 2009. Adjusting for restructuring costs in the first quarter of 2009, gross margin was 27.1%. Our increase in adjusted gross margin percentage of 80 basis points was driven by sales, savings from restructuring actions taken in 2009, which improved margins by 217 basis points; a decrease in aluminum costs, which improved margins by 80 basis points; offset somewhat by change in mix and pricing, which reduced margins by 240 basis points. Our vinyl impact and non-impact products carry a contribution margin of approximately 44% and 21%, respectively. While incremental vinyl sales are good for our top line and cash flow, they carry lower margin compared to our aluminum impact products whose contribution margin is approximately 55%. This negative gross margin mix will continue to impact us until we see our core market, Florida, start to grow. Our average cost of aluminum was approximately $2,070 per metric ton during the first quarter, comprised of spot purchases averaging $2,315 per metric ton for 4% of our needs and hedged purchases averaging $2,060 per metric ton for 96% of our needs. This compares to the first quarter of 2009’s average price for aluminum of $2,382 per metric ton. We are currently hedged at approximately 57% of our estimated needs for the remainder of 2010 at an average of $2,070 per metric ton. Our selling, general, and administrative expenses were $11.9 million, down $3.1 million compared to prior year's first quarter, driven by lower restructuring cost of $1.6 million, lower personnel-related costs of $600,000, lower bad debt expense of $300,000, lower marketing costs of $400,000 and overall lower spending in various other categories of approximately $200,000. SG&A as a percent of sales was 29.4% in the first quarter of 2010 compared to 32.3% in prior-year's first quarter, excluding restructuring charges. Interest expense was $1.5 million compared to $1.6 million in the first quarter of 2009. The decrease primarily relates to lower debt compared to prior year as we made $22 million in prepayments of our long-term debt during 2009. At the end of the first quarter, the interest rate on our bank debt was 8.25% based on our recent amended credit agreement and its tiered interest rate structure. For the first quarter, we have an effective tax rate of zero due to the full valuation allowance that we applied to our deferred tax assets, including those generated during the quarter. This was also the case for the first quarter of 2009. During the previous fourth quarter conference call, I mentioned that we anticipated a loss carry-back receivable of approximately $3.6 million related to the recently passed legislation allowing companies to carry back 2009 or 2008 losses up to five years. This return has been filed and we expect to receive our refund during the second quarter. Going forward, we anticipate our tax rate to be in the range of 38% to 39% absent any further adjustments to the valuation allowance. As we become more profitable, we will be in a good position to realize our deferred tax assets by offsetting future income. We had a net loss in the first quarter of $2.1 million or $0.05 per diluted share versus a net loss of $6.7 million or $0.19 per diluted share in the first quarter of the prior year. The net loss in the first quarter of 2009 included $3 million of restructuring costs. Adjusting for those costs results in an adjusted net loss for the first quarter of 2009 of $3.7 million, or $0.10 per diluted share. Our adjusted EBITDA was $3.4 million or 8.3% of sales for the first quarter versus an adjusted EBITDA of $2 million or 4.8% of sales for the first quarter of 2009, an improvement of 42%. As additional information, our first quarter depreciation and amortization totaled $4 million. A reconciliation of the net loss and adjusted EBITDA is included in our earnings release for your reference. Turning to our balance sheet; at quarter-end, our net working capital, excluding cash, increased by $6.4 million compared to the end of the fourth quarter. This increase in net working capital was primarily the result of an increase of $2.3 million in accounts receivable and $1.5 million in inventory, both relating to our increase in sales during the first quarter and our year-end two-week plant closure. We also had a decrease in accounts payable of approximately $700,000, and a re-class to our other current assets of the Lexington facility now held for sale of $700,000. In reviewing free cash flow for the first quarter, we had adjusted EBITDA of $3.4 million, first quarter 2010 capital additions of $300,000, cash paid for interest of $1.3 million and we used $5.2 million of working capital, excluding the non-cash re-classes. Additionally, we received $500,000 in cash from other items, including our aluminum contract settlements. Net-net, we had a use of cash of approximately $2.9 million. During this first quarter, we also finalized our rights offering and debt amendment, which provided $26.3 million in cash after fees, allowing us to pay down the required $15 million of term debt on March 17, 2010. We also used $700,000 in cash for restructuring charges accrued in 2009. Combining all of those items results in cash on hand of $15.2 million at the end of the first quarter. Our net debt at the end of the first quarter of 2010 was approximately $38 million. This compares to net debt of $61 million at the end of the fourth quarter. As mentioned, we finalized our rights offering during the quarter and made our third amendment to our credit facility effective. The rights offering, which expired on March 12, 2010 was 90% subscribed and resulted in us issuing approximately 18.4 million shares of stock to the subscribers. Our total outstanding shares after the offering are 53,645,650, of which, our majority owner, JLL Partners owns 59.4%. Proceeds from this rights offering were used to pay down $15 million in term debt and the third amendment to our credit facility became effective on March 17, 2010. Major changes within this amendment include, covenant holiday for 2010; as well as increases in the maximum allowed leverage in 2011 starting at 6.25 times EBITDA; an extension of our revolver due date from February of 2011 to December of 2011, and it adds a floor to ABR base interest rate of 4.25%. These actions represent our commitment to the long-term strength of our company, and position us to invest in our markets as the housing industry recovers. As mentioned in previous calls, we took restructuring actions during 2009, which collectively generated $15 million in annualized savings. Many of those actions were taken in the beginning of 2009, and therefore most of the benefit of those actions was received in 2009. We anticipate our 2010 results to benefit from the 2009 action by approximately $6 million when compared to prior year, including the $2.5 million recognized in the first quarter. The past three years have been quite difficult due to the waves of negative market conditions that battered the industry; however, we see some indicators which provide cautious optimism and suggest the housing industry is beginning its long road to recovery. We are in a very solid position to once again lead our core market, impact windows and doors, into the future and continue our expansion out-of-state into the non-impact vinyl market. This is a direct result of the dedication of all our employees to both maintain exceptional customer service and think strategically, as well as the continued loyalty of our consumer and customer base during this downturn. We continue to believe in the long-term outlook of the housing in both R&R and new construction markets. With that, let me turn the call back over to Rod.
Rod Hershberger: Thanks, Jeff. The new products introduced over the past two years are performing exceptionally well, and we are well positioned, both operationally and financially, to continue to provide value to shareholders as well as to stakeholders of PGT in this, our 30th year of operations. Over the past 30 years, many things have changed, including the products we offer and the regulatory environment of the market, and particularly the coal markets we serve. However, our purpose has remained the same throughout and that is to provide peace of mind through innovative solutions that protect families and properties. I thank all our employees and our customers for continuing to believe in us, commit to our strategy, and outperform our expectations. With that, I'll conclude and Jeff and I will be happy to answer your questions. Judy, if you could get the first question please.
Operator:
 :
Nishu Sood – Deutsche Bank Securities: Thanks, good morning guys.
Jeff Jackson: Hi.
Rod Hershberger: Good morning, Nishu.
Nishu Sood – Deutsche Bank Securities:
 :
Rod Hershberger: Nishu, I think just to mainly put a little bit more color on that, that tax incentive expired. So we saw a little bit of – probably a bubble coming through in April that pushed some sales out. The Florida market hasn’t recovered significantly yet. One time, I think, we talked to a lot of our investment community about the average amount of starts that happened in Florida and over the past almost 25 years to 30 years it averaged out to about six starts per 1,000 of population in Florida. Right now we are at more of the 1.5 to – it might almost reach 2 this year depending on the number of starts that we actually see. So I think what we really need to see is we need to see that start number become a lot more normalized, particularly up in that four to five starts per 1,000 people before we really see the recovery in the market. So it’s nice to see that there is more starts. Unfortunately, the number of starts that are there are still at historic lows. And it’s not spread out really well between – it’s an attractive place to live and there is a lot of water from properties and that water from some of the properties is not really being utilized right now.
Jeff Jackson:
 : And I think once that happens, we will be participating in that move or that wave that will eventually occur. I think you will see our new construction business turn somewhat. Right now with our dealer and distributor base really focused on R&R, 77% of our sales were in R&R market. It’s actually a good thing for us. It will take some time for some to refocus those efforts and it could take up to 12 months. We saw it take 12 months to 18 months for them to move from new construction into the R&R site. So my thinking is it’s going to take a similar amount of time for them to switch focus, and there’s got to be a market there for that. And right now, to Rod’s point, it’s just not the lower-end track homes, it’s not costal homes, it’s not where impact WinGuard is going into. So we are not enjoying the new construction piece.
Nishu Sood – Deutsche Bank Securities: Got, it. Got, it. So as the – so basically as we go from 1.5 or 2 starts per 1,000 people back up to five or six, let’s say, it will both encourage your dealers to shift back to new construction and broaden out the types of homes that are being built. Got it, got it. Okay. So a second question I wanted to ask was on the trajectory of margins in general. On the SG&A side, obviously you guys have made some good progress in terms of containing your costs, and I imagine as we get back to more normalized sales levels, your SG&A, you would expect to drop from 27% to 28% of sales, probably back down to 23% or 24%. On the gross margin side, I think from a leverage perspective, I think one of the interesting things that you mentioned was that you’re already back to hiring capacity, and that maybe just an issue related to the vinyl lines, maybe you can give us some color there. But what’s going to drive the gross margin back up because it seems like you’re obviously shifting away from the traditionally higher margin WinGuard product. So what’s going to take us back up on the gross margin side?
Rod Hershberger: Couple – one thing – I think Jeff’s probably going to give you a little more color on it. But one think I want to mention before he jumps in is one of the things that’s really critical to us and is driven a lot of our success, almost most of our success over the last 30-years, is our relationship with our customers and our focus on our customers. Internally, we call it a customer intimacy focus that everyone here knows about and understands and talks real candidly about. So as we made the reductions in force over the last three years we were very conscious about making sure that we either maintained or increased our customer focus while we were doing that. So that in turn probably negatively affected our SG&A a little bit. We were able to keep our cost for direct labor; we view that as almost a fixed cost, and as we increase sales that stays as a fixed cost. We’ll bring some people in and we will hire and we will keep that cost where it should be for direct labor; but the overhead costs, we wanted to make sure that we maintain the customer satisfaction piece.
Jeff Jackson: I guess just a little bit to add to that I don’t view us shifting away from WinGuard products. What’s happening is our new products are growing. So we are not shifting away, we are just getting incremental growth in the non-impact vinyl world. And the hiring that was motioned is mainly in the North Carolina facility. A lot of that hiring is converting what we were using as part-time individuals to full time. So it’s not incremental hiring, it’s actually shifting from part time to full time, although there is some incremental hiring in that mix as well. So that labor – that variable labor is tied to sales and we wouldn’t be hiring if the sales obviously weren’t there to support them in that plan. Here in Florida, same can be said, sales have stabilized. So we are not decreasing, we naturally have attrition. So the limited numbers we’ve hired in Florida, roughly 15-ish, 15 to 20 direct labor variable costs, are attributed to the sales piece; basically, sales stabilizing and attrition kind of back-going [ph] for attrition. So we don’t really add into that cost structure yet, the fixed cost structure, and don’t plan on it to be honestly for the foreseeable future. I think right now, we got lean manufacturing costs, our SG&A is checked and in line. So we have some pretty favorable leverage. And when we start to see the recovery coming we will obviously re-leverage wisely, and I think our margins will be better than they were in the past. But that will require obviously a certain level of sales. So did that help?
Nishu Sood – Deutsche Bank Securities: Yes. That’s very helpful. Thanks a lot. I’ll let others ask.
Jeff Jackson: Okay.
Operator: Thank you, sir. Our next question in queue comes from Mike Rehaut with JPMorgan. Your line is open.
Jason Jorgensen – JPMorgan: Hi, this is actually Jason Jorgensen [ph] for Mike.
Rod Hershberger: Hi, Jason.
Jeff Jackson: Hi, Jason.
Jason Jorgensen – JPMorgan: Hi, just a quick question for you on the repair and remodel business. I was just wondering when you are expecting to see positive year-over-year sales comparison overall between both businesses, between repair and remodel and new construction maybe throughout rest of this year?
Jeff Jackson: We saw positive year-over-year quarter, first quarter last year, first quarter this year, sales comparison in the R&R market. Our R&R sales were up about 11% compared to the first quarter 2009. New construction sales, as Rod mentioned, were down still.
Jason Jorgensen – JPMorgan: Yes, I guess when you combine both of them that you’re expecting to see positive comparisons this year.
Jeff Jackson: That’s tough to say. That would be kind of (inaudible) in a sense. I don’t know what second quarter is going to bring. Historically, second quarter has been a stronger quarter for us. If you look into last year’s results our second quarter was our best quarter. I don’t see that necessarily changing, that trend changing, at this point. But I don’t know that year-over-year comparison, that I’d be comfortable in giving that guidance.
Rod Hershberger: Yes. It’s always interesting for us to take a look at – because naturally we report out on dollar sales, but we also look at unit sales and what’s being sold, what the product is and with a lower cost product starting to pick up some sales, particularly out of North Carolina, lower to the end user; unit wise we feel like we are doing well and it’s doing well as far as looking at our market share. So it becomes a little bit harder comparison depending on the size and type of houses being built or size and type of houses being remodeled.
Jason Jorgensen – JPMorgan:
 :
Rod Hershberger: Yes. It’s interesting when you look at the competitive environment. We’ve seen companies close plants and open other plants in the same company; sometimes it’s kind of hard for us to understand; I think it’s a transportation issue. I think just recently we’ve seen two fairly large competitors just announcing that they are emerging from bankruptcy with restructured debt. So that may make a difference in the market. We’ve seen some other people go out of business completely. The competitive landscape is all over the marketplace right now.
Jason Jorgensen – JPMorgan: Okay, great. Thanks a lot.
Rod Hershberger: The other thing – one thing that I do need to mention, though, when you look at the competitive landscape, if you look over the last couple years we’ve introduced a number of new products and new product lines. That’s one thing we haven’t seen from the competition. We haven’t seen people out there investing in R&D and introducing new products and pushing new products into the marketplace.
Jason Jorgensen – JPMorgan: Okay. Thanks.
Rod Hershberger: You are welcome.
Operator: Thank you, sir. (Operator instructions) Our next question in queue comes from Robert Kelly with Sidoti. Your line is now open.
Robert Kelly – Sidoti & Company: Good morning, guys.
Rod Hershberger: Good morning, Rob.
Jeff Jackson: Good morning.
Robert Kelly – Sidoti & Company:
 :
 :
Jeff Jackson: Sure. The gross margin for WinGuard this time was 39% and all other was 9%.
Robert Kelly – Sidoti & Company:
 :
Rod Hershberger: It’s a two part question. The restructuring really doesn’t have a lot to do with our product mix. It was a matter of making sure that all of our departments had the right amount of personnel and really the tools to do their job correctly, and we can do that and shift between product mix pretty easily. As we look forward, it’s a really hard predication. We’ve seen over the years that we have active hurricane seasons and people grab code [ph] and they change code and they upgrade and every time there is storm we learn a little bit more; and we went through a pretty dramatic learning curve, first of all when Henri went through and that was a long time ago. But in 2004 and 2005 with all the storms that went through and we saw our code get strengthened significantly. We really haven’t seen code weaken, but we haven’t seen quite the focus as we go through a year like last year when there was no landfalling storms that really drove anything. So to predict two years in the future, particularly in a year like this where almost everything we’re seeing and reading, is saying a very active season. But a very active season doesn’t mean whole lot unless it make landfall or it doesn’t make landfall as far as what it does to code. So I don’t think code is going to get weaker. I think living on the coastline is still very attractive. That’s where people want to have second homes and where they want to move to. And I think if you look forward two years, I think by that time we want to have all the problems fixed in the economy but we will have a lot of them fixed, I believe, and we will see more of a normalized build schedule and a lot more impact products in demand.
Jeff Jackson: Yes. Just to add a little color to that. If you really get away from just WinGuard and just say impact versus non-impact, because we have introduced PremierVue which is an impact vinyl product. Then you got WinGuard, both in aluminum and vinyl. The vinyl piece of impact is actually growing. It’s the aluminum piece that’s really down if you just bold it down to the products themselves. That mix in total for the total company historically – just looking back over the years, last year it was roughly 65% impact mix; 2008 it was 69%; 2007, 68%; 2006, 65%; and first quarter here, we are at 62%. I don’t see that necessarily continuing to decline. Ultimately, the Florida market is going to stabilize and we will come back. Rod mentioned population, that’s exactly what we are looking at. But the level of population and the current starts, it can’t support itself long term and we think the Florida market is yet to really come back; once that starts coming back that will improve that mix more to the impact products. Also what will improve it is the fact that the thermal demand for high-energy efficient products, that is going to take hold over the next few years and we think to a large degree and we have introduced new products to capture that market as well. Historically, our mix has been above 60%, let’s call it, mid 60s to upper 60%. Right now, we are at 62%. I see that at least being the same, if not growing a little bit, because again our Florida core market hadn’t come back. What’s been growing for us is the non-impact vinyl. When both those happen – the shear price difference between impact and non-impact – what is it 3 to 1? 3 to 1 – you are going to get favorable mix when Florida comes back. Florida just hadn’t done that for us yet in terms of that market. Am I understood?
Robert Kelly – Sidoti & Company:
 :
Jeff Jackson: No. I won’t look for us to necessarily pay down more debt. We are going to keep at least that $15 million of cash on hand. That’s been our goal. Historically, I’ve always kept anywhere from $13 million to $20 million of cash on hand. I know it got down lower at the end of last year. But with our debt at net $38 million, I think what we’ve down is, and let’s just take the balance sheet with our balance sheet refinancing, we’ve taken that, in my opinion, off the table. And now we can really focus on the business and improving both out-of-state and obviously being ready when Florida does come back. But in terms of continuing to pay down debt, that won’t happen until our cash starts getting into the $20 million plus level. And at that point, sure, we will apply some incremental debt pay downs.
Rod Hershberger: Yes, we’ve been pretty consistent at look at opportunistic maybe growth or acquisitions whether it’s a product line – last time we talked about Hurricane Window and Door Factory that we acquired the assets to and renamed that PremierVue, and that’s been a good product for us. It’s been a very good product for us. But geographic growth are adjacent products that might fit real well, and we always like to carry a little bit of – not a lot of cash on the balance sheet to make sure we can do that, but it’s always interesting to make sure there is enough there, so that there is something really opportunistic out there we can go after, as well as, as the market starts to turn and I think everyone in the industry is realizing that it feels better. It’s not necessarily a lot better yet but it feels better and no one knows if it’s going to turn quickly or slowly, and being ready to make sure that we’ve got the capacity. Our lead times are, in some cases, three days and in some long cases two to three weeks at the long period. So we’ve got to be positioned to turn that really quickly when we need to. And I think we are positioned exactly where we need to be to do that now.
Robert Kelly – Sidoti & Company: Thanks a lot.
Rod Hershberger: You are welcome.
Operator: Thank you, sir. And currently I am showing no further questions in the queue. I’d like to turn the program back over to Jeff for any final remarks.
Jeff Jackson: All right. Thank you for joining us today. We look forward to speaking with you again next quarter. If you do have any further questions, please call me. Have a good day.
Operator: